Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Ralph Lauren Second Quarter Fiscal Year 2022 earnings call. At this time, all participants are in a listen-only mode. Later, we will conduct a Question-and-Answer session. Instructions on how to ask a question will be given at that time. . As a reminder, this conference is being recorded. I would now like to turn over the conference to our host, Ms. Corinna Van der Ghinst. Please go ahead.
Corinna Van Der Ghinst: Good morning. And thank you for joining Ralph Lauren's Second Quarter Fiscal 2022 conference call. With me today are Patrice Louvet, the Company's President and Chief Executive Officer, and Jane Nielsen, Chief Operating Officer and Chief Financial Officer. After prepared remarks, we will open up the call for your questions, which we ask that you limit to one per caller. During today's call, we will be making some forward-looking statements within the meaning of the federal securities laws, including our financial outlook. Forward-looking statements are not guarantees and our actual results may differ materially from those expressed or implied in the forward-looking statements.  Our expectations contain many risks and uncertainties. Principal risks and uncertainties that could cause our results to differ materially from our current expectations are detailed in our SEC filings. To find disclosures and reconciliations of non-GAAP measures that we use when discussing our financial results. You should refer to this morning's earnings release and to our SEC filings that can be found on our Investor Relations website. And now I will turn the call over to Patrice.
Patrice Louvet: Thank you, Corrie. Good morning, everyone. And thank you for joining today's call. We were delivering strong progress on our fiscal '22 plan with second quarter performance exceeding our expectations across all key financial and consumer engagement metrics. Our brand elevation strategy, which cuts across our product, marketing and distribution channels, is resonating with consumers in every region. We're driving these results despite greater-than-expected disruptions in the global supply chain and extended COVID restrictions in key markets like Japan.  And while we continue to face a volatile environment, the work we have done to build a resilient supply chain over the last several years, as well as our significant AUR elevation, will continue to be competitive advantages as we navigate emerging challenges, and mitigate risks. To give you some context and color our supply chain is intentionally diversified across multiple markets. A key initiative we started over four years ago.  This allows us to quickly shift production when certain markets are affected by COVID or other issues. We've created a strategic supplier program, whereby we prioritize our partners with a presence across multiple markets, and maintaining these shifts to happen even more seamlessly. And we have proven pricing power. Elevating our AUR across every channel and geography over the last 4.5 years. So that we have room to absorb near-term pressures we've seen in our business, such as tariffs or current inflationary headwinds. This built-in agility gives us confidence as we continue to navigate a volatile global operating environment ahead, but I want to be clear that this is not just about our ability to play defense.  Even as macro challenges arise or subside, Ralph Lauren is firmly driving often to position the Company for long-term sustainable growth. We are leveraging our strong momentum to further accelerate investments across brand-building, personalization and new customer recruiting, digital, and key markets and categories in the months ahead. Reflecting on the last quarter, a few key highlights. First, our overall recovery is outpacing our expectations. This was led by out-performance in Europe and North America with Asia in line with our plan, and positive to fiscal 2020 or  despite extended COVID measures as our product assortments resonated strongly with consumers globally.  Second, our digital momentum continues following our reset work across product, pricing, and promotions last year. In our digital operating margins continued to be strongly accretive to our overall Company margin rate. And third, our elevation strategy is translating across all channels, including positive trends in wholesale across regions. On top of all of this, we made further progress toward our long-term target as mid-teens operating margins with second quarter margins of 17% representing the highest Q2 rate since Fiscal 13. And we achieve this even as we continue to reinvest for future growth and plan to increase returns to shareholders over the next several quarters. Our performance demonstrates our team's strong execution against the 5 strategic pillars that we outlined at the start of our Next Great Chapter plan. Let me share a few highlights from the quarter across each one.  First on our efforts to win over a new-generation, we continued to invest in our brand-building initiatives to drive both new customer acquisition and retention in order to fuel long-term growth. In the second quarter, we further strengthened our brand consideration, purchase intent, and net promoter scores globally while Ralph Lauren brand sentiment also improved across every region. Some of our key campaigns underpinning these results included; the continuation of our summer sports program, with the U.S. Open Tennis Championships here in New York, as well as Team USA's victory at the 2021 Ryder Cup in golf. These came on the heels of our sponsorship of the U.S. Olympic team in Tokyo earlier in the quarter.  Together, these campaigns generated over 71 billion media impressions in the second quarter as we continue to inspire new-generations of athletes and dreamers. In September, we celebrated the return of fashion's biggest night, the Met Gala. And what better opportunity to showcase this year's team of American fashion than with one of the most iconic American brands, Ralph Lauren. Celebrities and influencers from Jennifer Lopez and Ben Affleck to Chance the Rapper and Lily Aldridge, were featured in our designs, driving strong engagement and traffic to our channels. Ralph's design of Lily Collins wedding dress, some of you will know her as Emily in Paris, garnered worldwide media attention.  And we were excited to announce a new collaboration this quarter with Zepeto, a metaverse or virtual world, where users Avatars, can socialize and create content. This partnership represents the latest frontier in digital engagement in which users can purchase exclusive digital Ralph Lauren apparel for their 3D avatars for the first time ever. Early engagement has outpaced our expectations with a 100,000 items already sold in just a few weeks. In all, we added 1.4 million new consumers to our direct-to-consumer channels alone this quarter, a 19% increase to last year. And our total social media followers continue to grow, reaching 46.9 million globally, led by Instagram.  Moving to our second key initiative, energize core products and accelerate high potential, underdeveloped categories. Ralph and our design teams continue to inspire consumers around the world as they begin to incorporate sophisticated, casual styles back into their closets. While still seeking elevated comfort with categories like loungewear. We are uniquely positioned to capture this evolving hybrid way of dressing, given the breadth of our portfolio. And we're also making strong progress on our high potential categories like outerwear and denim. During the second quarter, we drove our core sportswear categories along with seasonal styles, such as transitional sweaters and fleece as we headed into early fall selling. On the men's side, we saw strength across bottoms, including denim, active styles, and shorts, as well as sweaters and performance suits.  Though a small parts of our business prior to COVID, tailored clothing and dress shirts continued to show sequential improvement. In women's, we drove outsized performance in sweaters, sweatshirts, mid layer knits, and bottoms. Outerwear, including transitional quilter jackets, updated lasers and denim jackets, also grew double-digits to doubled LY. This should bode well for the key outerwear selling period the following holiday. We also launched our new Ralph's Club fragrance globally with a digital first campaign featuring Lucas Haba and Gigi Hadid. This marked our first major fragrance launch in China. And in its first month, it ranked among the top 3 men's fragrances in key markets around the globe, including in the U.S. And more than 75% of purchases on ralphlauren.com were made by consumers who are new to the brand.  This takes me to our third key initiative; drive targeted expansion in our regions and channels. We continued the build-out of our brand, elevating key city ecosystems around the world in the second quarter. With 35 new stores in concessions opening in top cities globally and 13 locations closed. The majority of these store openings were in Asia, and particularly the Chinese Mainland, which continues to represent a significant long-term growth opportunity for our brand. Despite COVID-related shutdowns in July and August, our mainland sales were still up more than 25% to last year and more than 70% to double our OI in constant currency.  And comp trends rebounded quickly in September, once restrictions were lifted, we opened our second emblematic store experience in China at Shanghai's Kerry Center this quarter. Following our first opening in Beijing this spring. The emblematic concept provides an example of how we are transforming the retail experience with digital integration throughout, exciting in-store activations, and hospitality features like Ralph's coffee that are fueling new consumer’s acquisition. Early performance is well ahead of our expectations, and these stores are also listing overall growth trends in their respective omni -channel ecosystems, moving to our priority of leading with digital.  Our global digital ecosystem, including our directly operated sites, department store.com, pure players, and social commerce, grew approximately 45% in the quarter in constant currency, and 50% to double LY. Our digital momentum continues, even as traffic returns to physical stores, driving a benefit to our overall operating margin mix. This is the result of our continued digital investments focused on content creation, data analytics, and AI to serve our consumers through an elevated, connected retail experience. Now, touching on our work to operate with discipline to fuel growth. As I mentioned, our teams continue to operate with agility and focus to mitigate supply chain headwinds, delivering better-than-expected gross and operating margins. In the second quarter.  At the same time, we continued to drive expense discipline as we accelerate both near term and multiyear investments in the back half of the year to fuel long-term growth. And lastly, on our brand portfolio, we successfully transitioned Chaps from our North America wholesale business to a licensed model in the second quarter, as previously announced. This completes our exit from moderate priced U.S. department stores, enabling our teams to focus on our core namesake brands and elevated positioning in the marketplace. I also want to take a moment to highlight our ongoing work to integrate citizenship and sustainability into everything we do. We recently announced the launch of the U.S. Regenerative Cotton Fund in partnership with the Soil Health Institute.  Funded by the Ralph Lauren corporate foundation, this program works directly with farmers to transition 1 million acres of American constant crop plan to regenerate the production. In all, it is set to eliminate 1 million metric tons of carbon dioxide equivalent from the atmosphere by 2026. Both increasing sustainable constant supply and making important progress in the urgent call to action on climate. We are proud to share today that this program is being recognized at the COP26 International Meeting on climate as an innovation spread partner by the Agriculture Innovation Mission for Climate. In addition, this quarter, we joined a global fashion agenda, strategic partner group, to prioritize sustainability and fashion, as well as Ellen MacArthur foundation as a partner in its mission to create a circular economy for our apparel.  And we were also honored to be recognized as one of the 2021 Best Places to Work for people with disabilities by the Disability Equality Index, and as one of the world's best employers of 2021 by Forbes. In closing, Ralph and I are strongly encouraged by the Company's progress through the first half of the fiscal year. All channels and geographies are showing strong momentum as we build on the healthier foundation, we set over the past 18 months. Our performance along with the resilience of our supply chain and pricing power in the market, gives us confidence as we accelerate our investments in the back half to support long-term growth. So, with that, I'll turn it over to Jane to discuss our financial results, and I'll join her at the end to answer your questions.
Jane Nielsen: Thank you, Patrice. And good morning, everyone. Our second quarter results outperformed our expectations with progress across each of our key strategic initiatives. Even in the midst of continued COVID, and supply chain headwinds around the world. Performance this quarter was driven by, strong top-line growth led by our full-price wholesale channels globally, and broad-based outperformance in Europe. Continued digital momentum across owned and third-party channels. Further gross margin expansion on top of last year's COVID mix benefits, with double-digit AUR growth and elevated product mix more than offsetting higher freight.  And higher-than-expected operating margins, including cost savings benefits, improved wholesale margins, and favorable channel mix shift from wholesale and digital. Second quarter revenues increased 26% to last year with positive growth in every region, led by Europe and North America. Compared to second quarter fiscal 20 or double LY, revenues declined 12%.  However, this included approximately 8 points of negative impact from last year's strategic reset of our distribution and our caps business, which moved to a licensed model. Total digital ecosystem sales grew approximately 45% in constant currency to last year and 50% to double LY, including 35% growth in our own digital business. Momentum continued across every region, reflecting our strong assortments, expanded connected retail capabilities, and high impact marketing. Digital margins were also strongly accretive to our second quarter profitability, consistent with last year and about 1,300 basis points higher than double LY.  Total Company adjusted gross margin was 67.3% in the second quarter, up 80 basis points to last year on a reported basis and 50 basis points in constant currency. Despite increased freight headwinds of approximately a 150 basis points. Gross margins were better than expected despite lapping last year's unusual COVID mix benefits driven by better pricing and promotion along with favorable product mix and last year's supply chain organization streamlining, adjusted gross margins increased 580 basis points to LLY. Second quarter AUR grew 14% on top of 26% growth last year, with increases across every region.  This represents our 18th consecutive quarter of AUR gains as we continue on a brand elevation journey. And it gives us strong confidence in our sustained pricing power as we mitigate mid-to-high single-digit product cost inflation, starting in the second half of the year. Adjusted operating expenses increased 17% to last year, to $755 million and declined 5% compared to LLY, reflecting our restructuring savings. The increase to last year was driven by higher marketing and compensation as we lapped last year's furlough and store closures due to COVID. Marketing increased 83% to 6.1% of sales in the quarter, with a focus on new customer acquisitions and long-term brand building initiatives.  Operating expenses were below our initial plan as we shifted about $25 million of investments into the second half of the year, based on COVID disruptions. In the second half, we will increase marketing and talent investments to support growth this holiday and in-customer acquisition to drive longer-term growth. Adjusted operating margin for the second quarter was 17.1% up 450 basis points to last year and 220 basis points to double LY. This was above our guidance of 13% to 14% margin, largely driven by improvements in Europe and North America Wholesale. Excluding the timing shift, operating margin was still well ahead of our plan, above 15%. Moving to segment performance, starting with North America. Second quarter revenue increased 30% to last year, supported by strong product assortments, new customer acquisition, and market share gains. Compared to LLY, North America revenues declined 20%, but included a 15 point headwind from our strategic distribution reset and Chaps similar to Q1. In North America, retail revenues grew 34% to last year.  Comps increased on improved traffic and 23% AUR growth, reflecting our continued elevation around product, marketing and more targeted pricing and promotions. Brick and mortar comps increased 31% driven by double-digit growth in AUR, basket sizes, and traffic. Although foreign tourists’ sales improved significantly to last year, they were still down more than 80% to LLY, due to continued softness in international travel. Comps in our owned digital commerce business grew 32% this quarter.  This was driven by a strong product offering along with high-quality new consumer acquisition and retention of last year's new consumers, resulting in higher full-price sale. New consumers increased 12% to last year and more than 50% to LLY. And retention of the new consumers acquired last year improved meaningfully as we become increasingly effective at targeting and personalization. In North America wholesale, revenues increased to 23% to last year. This was ahead of our expectations as the foundational work we completed through COVID.  To reset our inventories, elevate our product mix, exit lower tier wholesale doors, and significantly reduce off-price penetration is delivering improved top-line growth and quality of sales. Total sell-out was up low double-digits in the second quarter to LLY led by a continued market share gains in men's, kids, and home. Lauren women's continue to stabilize sequentially, including share gains in women's ready-to-wear.  Overall, wholesale AUR growth continues to accelerate up 30% to LLY as we elevated our assortments and pulled back on seasonal promotions in the channel. And our momentum on wholesale.com drove digital sellout growth of more than 45% to both last year and LLY. All of this is enabled by our healthier brand positioning and wholesale. And we see more to come as we are still in the early stages of driving our brand elevation strategy in this channel. Moving on to Europe. Second quarter revenue increased 38% on a reported basis, and 36% in constant currency, above our expectations. Revenue in selected to positive growth on a LLY basis this quarter, with all key markets performing better than planned, led by Germany and France. The U.K. our largest market in the region, and earliest to reopen this spring, also continued to perform better than planned on strong demand. Europe comps increased 27% in the quarter. Bricks-and-mortar comps were up 28% driven by improved traffic, AUR, and basket sizes. Digital commerce comps increased 24% on top of a 26% comp last year, when COVID-related closures shifted more business online.  Europe wholesale exceeded our expectations again this quarter. Driven by stronger sell-out and reorders at both digital wholesale, as well as traditional wholesale accounts. Turning to Asia, revenue increased 14% on a reported basis, and 13% in constant currency. Our Asia retail comps increased 7% with 69% growth in digital commerce and 4% growth in bricks-and-mortar stores. Continued strong momentum in China and Korea this quarter more than offset extended COVID restrictions in Japan, our largest market in the region, as well as Australia, Malaysia, and Singapore. In total, COVID-related closures and operating restrictions negatively impacted Asia sales by about 3.5% in the quarter.  And while the Chinese Mainland still grew more than 25% this quarter, our performance was also tampered by COVID lockdowns from late July through August. On a positive note, mainland comps rebounded quickly in September once stores reopened, Japan comps also started to improve towards the end of the quarter with the government lifting all states of emergency following the end of our fiscal Q2. Our digital ecosystem continued to accelerate in Asia. In Q2, this was supported by our successful Chuseok, Thanksgiving holiday campaign in Korea, Qixi, Valentine’s day in China, and it's overall momentum in our newer digital flagships in China, Japan, and Hong Kong. Moving onto the balance sheet, we ended the quarter with $3.1 billion in cash and investments and $1.6 billion in total debt, which compares to $2.4 billion in cash in investments and $1.6 billion in total debt last year. Net inventory increased 5% modestly below our plan due to global supply chain delays. While we expect continued variability of inventory flows from quarter-to-quarter, we believe our inventories are well-positioned across key categories and channel to meet demand for the upcoming holiday and spring '22 seasons.  Overall, we expect to improve our inventory positions as supply chain headwinds subside and plan to end the year with inventories better aligned to sales growth. As we move into the second half of this fiscal year, we are re-committing to our long-term capital allocation priorities outlined prior to COVID. This includes first, reinvesting in our strategic growth priorities, including brand marketing and elevation, digital, and expansion of our key city ecosystems to drive long-term sustainable growth. Second, with peak pandemic closures, likely behind us, we are focused on returning a 100% of our free cash flow to shareholders in the form of dividends and share repurchases. We reinstated our dividend in the first quarter and we expect this to grow in line with durable net income growth.  And we expect to resume our share repurchase program starting in the second half of this fiscal year, with about $580 million remaining under our current share authorization. Looking ahead, our outlook is based on our best assessment of the current macro-environment, including global supply chain challenges and COVID related disruptions. We expect the quarterly cadence this year to remain volatile given dynamic conditions across our markets. For fiscal 22, we are raising our revenue growth to 34% to 36% growth to last year in constant currency on a 53-week basis, excluding approximately 700 million in annualized revenue we reset during the pandemic.  This includes department store exits, off-price, and Digoo (ph) reductions, and the licensing and sale of Chaps and Club Monaco. This implies revenues up high single-digits to fiscal '20. Foreign currency is expected to negatively impact full-year revenues by about 20 basis points. We expect gross margins to expand at the high end of our prior range of 50 to 70 basis points, or roughly 450 basis point increase to LLY. Our outlook improved on more favorable pricing and product mix this year, despite increased freight costs, which we now expect to be in the range of a 130 to 150 basis points due to our plans to use more airfreight to fulfill strong demand in the back half.  As a reminder, we renegotiated our ocean freight rates for the year in Q1. Raw materials, notably, cotton, will purchased roughly a year in advance, resulting in slightly favorable product costs through the first half of fiscal '22, This is followed by mid-to-high single-digit estimated cost increases in our second half ending March and through calendar 2022 which we expect to more than offset with continued AUR growth and productivity improvements. We raised our AUR outlook to high single-digit growth this year, above our long-term annual guidance of low to mid-single digits as we continue our elevation work. We still expect operating margins of 12 to 12.5%, which compares to 4.8% operating margin last year and 10.3% in fiscal '20. We continue to expect operating margin rates for the back half of the year to moderate from first half level based on increased second half marketing investments of approximately 7 to 8% of sales.  Reaching our full-year target of at least 6% of sales this year, increased airfreight expense in the back half of the year, and our assumption of more normalized channel mix compared to last year's COVID disruptions. For the full year, our increased revenue outlook implies high teams operating profit dollar growth compared to LLY pre -COVID level. For the third quarter, we expect constant currency revenues to increase approximately 14% to 15%.  Foreign currency is expected to negatively impact revenues by about a 140 basis points. While our teams are still actively focused on managing through global supply chain disruptions, we remain confident in our ability to deliver the right product at appropriate levels to meet consumer demand over the holiday selling period. We expect operating margins of about 13% to 13.5% in the third quarter, roughly in line with last year. This assumes modest gross margin expansion, largely offset by the timing shift in strategic investments, input cost inflation, and mix headwinds, I noted a moment ago. We now expect the full-year tax rate to be about 21% to 22% with a third quarter tax rate of around 22 to 23%. In closing, our strong first-half performance underscored the timelessness of Ralph's creative vision, the power of our brand, and our strengthening consumer base. With these as our foundation, we will leverage our momentum and invest in the key strategic initiatives that will support our long-term growth. And within a highly dynamic global environment, our teams around the world are executing with agility and playing offense to deliver long-term value creation for all our stakeholders. With that, let's open up the call for your questions.
Operator:  One moment please for the first question. First question comes from Dana Telsey, Telsey Advisory Group.
Dana Telsey: Good morning, everyone. And congratulations on the continued progress and performance. I wanted to ask -- thank you. You discussed some of the drivers of your recent out performance, just a few moments ago on the call. What elements do you consider sustainable moving forward given the shifting environment? And where do you see the biggest risk to your strong performance looking ahead? And then if you could just touch on the accretion of the digital margins and where you see that going? That would be helpful. Thank you.
Patrice Louvet: Good morning. Thank you for your question. Listen, we're certainly encouraged by the strong first half we've had this fiscal year, and what's really important to note from a mindset standpoint is we still have massive runway ahead of us. To a large extent, our brand continues to be much bigger than our business. So our performance so far has given us proof point and the confidence to continue investing in the multiple  that we had ahead of us. There are four that I would call out Dana, the first one, which is really our lifeblood, is customers. New customer acquisition.  And you've seen the numbers this past quarter up 19% versus last year, we're bringing in a younger consumer. We're bringing in a higher value consumer, a more profitable consumer, a less promotion sensitive consumer. We're very excited about that momentum. And we're going to continue to invest in this space to expand our footprint and also of course, drive retention. And we've seen very good progress on retention for customers that we've brought over the past few quarters.  Second area is around product and the breadth of our product portfolio and which we've talked in prior forms, really sets us apart from many other brands in this space. We have a lifestyle portfolio that ranges from tuxedos and evening gowns all the way to sweatshirts. And as you see consumers progressively reinvest into more elevated casual, we're incredibly well-positioned to meet that demand. And that's part of what's driven the success in Q2, is this ability to meet this hybrid customer expectation. Both more elevated products and also continued interest in athleisure.  We've been able to balance both well, on top of that, we've talked a lot about our high potential underdeveloped categories. And we've seen really nice momentum in these categories, but again, relatively early days in sneakers, outerwear, and denim, for example. So much more runway there. The third area is digital, right? And as you know, we've done a lot of work to reset here. Reset on products, reset on pricing, reset on brand presentation. We're seeing really good momentum in this channel across both our own sites, up 35% across pure players and breaking clicks up 57% this past quarter, total digit up 45%. What's exciting here is the momentum on digital continues as the stores are reopening.  So we're seeing consumers with an omni -channel mindset continue to engage both digitally and also in our stores. We are obviously going to continue to invest in capabilities in this space, functionality and connected retail experience. Notably, and you touched on it, our margin in digital continues to be accretive to our total Company margin. That is one -- of I think one of our most exciting achievements over the past year and the team has done a fantastic job to reset both product pricing, promotion, operations cost structure, in a way that this is accretive across all three regions. And our expectations is that we'll continue.  We expect digital to be our fastest-growing channel for the years to come. And we're really pleased that the digital margin is accretive to the Company margin. And we have full confidence is that we'll continue and expand. And then the final thing I would call on in terms of drivers is our focus on key cities. You know, we don't look at markets as much by country anymore. We really look at them as key cities and building and partner for the jargon, but building a connected omni -channel ecosystem in each of the key cities that's playing out really nicely, the combination of brick-and-mortar, pure-play, wholesale, brick-and-click, and our general digital wrapper.  We're seeing very strong response from the consumer in those cities where we've made these investments. You have a couple of examples in our prepared remarks of things that have happened recently in Shanghai, in Beijing. And we have more to come in the following quarters. When I look at the model we have there, the success we're seeing with it, and the opportunities we have ahead of us. Same thing, long runway in terms of our ability to go build these ecosystems around the world. So 4 key drivers that certainly drove the performance in Q2, and we will continue to play out for the long term.  As far as risks are concerned, the biggest risks we're facing are clearly macro-related. Right from supply chain to cost inflation headwinds. I mean those are very real, we've touched on these in the script. And we believe we're actually very well-positioned to mitigate them because of our brand pricing power,18 quarters in a row of AUR growth with multiple levers to drive AUR, because of our newly diversified, agile, faster supply chain that is not dependent on one specific supplier or one specific country. So these headwinds are there, they are real, but we are very confident in our ability to mitigate them.  And so I would say in this context, the biggest mistake we could make with these macro headwinds and these external pressures is actually a shift to defense. And as you've seen in our plans right now, we're on offense. We're executing our plans while mitigating the headwinds. We've got the resources to invest in the business. Our focus is on fueling our momentum next quarter, the quarter after that and for the long term. Thanks for your question, Dana.
Operator: Thank you. The next question comes from Jay Sole with UBS.
Jay Sole: Great. Thank you so much. I have a 2-part question. My first question is, can we talk a little more about the current cost inflation environment? How are you expecting increased cost impact your ability to drive long-term AUR and operating margin from here. And my second question is -- a smart question is just can you talk about the pace of share buybacks? Would you expect to use all of the authorization they have available in the current fiscal year? Thanks so much.
Jane Nielsen: Sure, good morning, Jay. Let me take your first question in two parts. First on the AUR trajectory, we are very confident in our ability to continue our elevation journey from here. We expect to continue driving both positive AUR and gross margin expansion in the back half of fiscal 22, and through our long-term plan. Over the last 18 consecutive quarters of AUR growth, we've developed a proven multileveled approach to pricing with a focus on creating value for the consumer and it's working.  So while we're still comfortable with our overall long-term guidance of low to mid-single-digit AUR growth, it's fair to expect that our AUR rates will be on the higher end over the next year as we work through higher costs, and we work those into our broader financial algorithm. On your operating margin question, we're still well on track towards the goal of mid-teens operating margin.  Our full year fiscal '22 guidance puts us firmly on a path with around 200 basis points of expansion to pre -COVID OY levels. And we're planning to achieve this on a lower reset base of revenues. And with OY dollars substantially higher than pre -COVID levels as well. And embedded within our guide, our gross margins are expanding in spite of cost inflation and we're reinvesting back in the business because we have momentum. As Patrice mentioned, we firmly believe that now is the right time to invest in the long term. We've reset to a more profitable base and we're seeing strong momentum in our brands.  And we have the right tools in place to drive expanded AURs and gross margin. Now on your question about the pace of share buybacks. So we have, as you've noted, 580 remaining in our authorization, I would expect that over the -- historically we've done about $500 million over the course of a fiscal year. I would expect us to do at least that pace as we close out the year, but of course, we'll be looking at the value creation potential of the share buybacks looking at the market. But I think you can expect us to go at least as fast as we have historically in terms of about$ 500 billion over four quarters. Thank you. Next question, please.
Operator: Thank you. The next question comes from Michael Binetti with Credit Suisse.
Michael Binetti : Thanks for taking our question. So Jane maybe -- just a couple of quick ones here. Maybe you can help us just aggregate how much -- North America slowed a little bit in both channels, maybe you can help us just aggregate how much the business transition line items impacted both the channels in North America in the quarter. And then I'd be curious if you might be able to help us think about how much supply chain may have held back North America in 2Q, just so we get an idea of what the magnitude of what's going on there is. And then, I guess, Patrice, you've got the wholesale AURs up now for a couple of quarters in a row. We've heard good news on that in the retail side for a long time.  So now that we've got a couple of quarters of AURs going up in that channel, as we look back as a 2018 Analyst Day, which I know is ancient history at this point. But you thought this business could do mid '60s gross margins at that time. And as we're looking at it now, you've got AURs, I think in a much better place than what you imagined at that time. We'd be curious to hear what you think the potential for this business is going forward. And then Jane, just one last one, fourth-quarter operating margin as guided sub 4% is that -- maybe just help us think about how much conservatism is baked in there versus actual cost that you're planning rising in the business.
Jane Nielsen: Sure. Why don't I take the first part of your question in terms of the disaggregating North America growth? So if you think about North America growth, we have as we move into this second quarter, we are really encouraged by the strong -- overall strong performance in North America. We have a much stronger foundation for growth. Solid momentum in the business where we had to do most of the reset work in digital and in wholesale. And our Q2 guidance did assume a sequential LLY slowdown ex-resets, as we weren't expecting the same level of upside that we saw in Q1 based on some of the inventory restocking that we did in Q1.  But overall, Q2 was still in line or better than our expectations. I think that the other aspect in North America was we did see some traffic softness in the outlet centers as the Delta variant started to rise, sort of mid to late summer, which impacted traffic overall, but we certainly saw that impact. Now, encouragingly, we do see our conversion and our comp outpace the traffic in our web, but that was also part of the -- a bit of slowdown that we saw through the summer. Do I think this supply chain is impacting -- impacted some of that? Yes. I know that we had less airfreight coming in during that mid-summer level, so we were a little slow to get fall on the floor and make that transition. So I do expect that that impacted North America. When we started to airfreight in and we became more aggressive in airfreight as we closed out September, we saw a rise in comps in our outlet doors and we're very encouraged by that. So I do think it had an impact. There's a lot of dynamics going on, but I do think it had an impact and we were encouraged by the acceleration that we saw in September.
Patrice Louvet: And then on wholesale AUR and gross margin expectations. So first of all, we're actually really pleased with the progress that's happening in wholesale on AUR and it's really to use a baseball analogy really -- early innings on this one, right? Probably first inning. You saw the number in the release AUR, U.S. wholesale of 30% versus LLY. With strong momentum there. And what I really like about the progress there is, it's multiple leavers. It's getting smarter on promotions when, how, where to implement them. It's like-for-like pricing.  It's investing into higher-value items. So all these leavers that we've seen play out in DTC were also seeing play out in wholesale and we're working very closely with our partners, and actually are very aligned in the approach that we want to drive moving forward. So I think long runway on AUR growth and expansion in wholesale and fundamentally help your businesses as a results of it. When it comes to gross margins guidance, Michael, we're not going to change our guidance long-term at this point.  We're still, as Jane mentioned, very committed to our mid-teens operating margin and very confident in our ability to get there. I think at this point, mid-60s for gross margin expectation in the near-term is consistent with what we said, and consistent with how to think about it. And then once we have the option to guide for the next phase of growth, then we can re-look at that together. But the general message is consistency of expectations with the focus, especially on the ability to deliver mid-teens operating margins for this Company.
Jane Nielsen: And on your question regarding Q4 implied up margin, it is our smallest quarter and it's certainly our -- traditionally our smallest quarter from an -- on an OY basis. We are making substantial investments that Patrice noted, largely on new consumer acquisition and new digital sites, and digital investments, all of which will pay dividends into the future. It's not a one and done kind of return on investments. These will be a long-term investments and we're committed to making them. Where could be upside come? Really if we see revenues strengthen beyond our expectations into the fourth quarter, supply chain resolved, or especially the logistics aspect of supply chain resolves quicker than we expected. You could see some flows through there.  The pressures are twofold other than the small quarter, we're moving into some of the higher costs that we're seeing on a product basis. And you saw that we've taken up some of our estimate on freight now moving to 130 to 150 basis points. Obviously given -- freight was 60 basis points in the first quarter, 150 in the second quarter, the back half to get to our range is more substantial than that. So you see that pressure in the back-half.
Corinna Van Der Ghinst: Thank you. Next question, please.
Operator: Thank you. The next question comes from Matthew Boss with JP Morgan.
Matthew Boss: Great, thanks. Patrice, maybe on the products side, could you help walk through key changes, maybe by category or collection that you've made to increase relevance with younger consumers as we exit the pandemic. Curious what you're most excited about into holiday. And then last, how do you see the brand positioned in a world potentially of greater overall casualization.
Patrice Louvet: So Matt, I'm going to broaden your point, because the way we appeal to that younger consumer is also through how we present some of our core products, right? How to make our white polo shirt relevant for that younger consumer. And I think through the pivots we've made on marketing, going on the platforms that resonate the most with that younger consumer, whether that's TikTok or Snap, participating in those activities that are most relevant for them, like gaming, like engaging in the Metaverse, like what we've done recently with the Zepeto where we've seen very high level of engagement.  So the shift in our marketing has really helped broaden the appeal to the younger consumer, we see it in our data. As I mentioned, upfront on Dana's question, we are seeing a younger consumer coming into the franchise. As a result of the marketing content and targeting on the product front, we have, of course, also leveraged categories that resonate the most with the younger consumer Polo sports, which we've re-energized. And I think there's a really clear positioning now, is resonating very nicely.  Elevated athleisure and fleece is also connecting nicely with that consumer. And then, some of our core, products are sweaters, or chinos, our denim. Some of our more elevated outerwear is also resonated -- quite resonating quite nicely with that younger consumer. So as I look at the broad categories that have been successful in the past quarter, and as we look ahead in terms of where we've invested, we feel very nicely positioned broadly, and in particular, for that younger consumer, whether that's again denim, investments in sneakers, driving more elevated casual that is resonating with that group both on the men's side and on the women's side.  And I'm actually very encouraged that the progression we're making in terms of attracting that younger and higher-value customer is not a one-quarter phenomenon. We've now seen this for a number of quarters and is the direct results of interventions -- targeted interventions we're making across product, across marketing, and across product brand distribution.
Corinna Van Der Ghinst: The next question, please.
Operator: Thank you. The next question comes from Brooke Roach with Goldman Sachs.
Brooke Roach: Thank you. Good morning and thanks so much for taking our question. Patrice and Jane, in your remarks, you called out marketing and other multiyear strategic investments to support long-term growth as a driver of SG&A investment into the second half. I was wondering if you could talk a little bit more about the most important spend initiatives within SG&A, this year. You're into the back-half. What is within your control and accretive to long-term brand health? And are there any other components of SG&A that are rising, whether that's rising labor or given the well or -- other types of aspects of an inflation? Where do you see that opportunity into calendar '22? Thank you.
Patrice Louvet: So maybe Jane will tag team on this one. In terms of Rob buckets broke into -- where we're focusing our investments moving forward that we expect to drive long-term growth, or one new customer acquisition, younger customer, higher-value customer. And we now have the tools with the consumer intelligence group that we have in place, with our ability to target and tailor the messaging to really be providing very high ROI on these types of investments. So we've seen the success behind them. We're going to dial that up across the region. The second is continued to fuel our digital momentum, right?  And that's combination of functionality on our own sites, elements of connected retail, work that we're doing with our wholesale partners, and you will see we have a number of exciting things coming online over the next couple of quarters when it comes to our digital capabilities. In addition to localizing sites, so expanding our footprint into new markets with localized propositions from the RalphLauren.com standpoint.  And then the third one is continuing to invest in building our store footprint in the context of our key city ecosystem. And we had two good examples recently with Shanghai and Beijing and there's more to come there. So these are investments that will not just generate an impact over the next one or two quarters, but there will have long-lasting effect. We really look at lifetime value of customers that we bring in to the franchise and we're actually really pleased with the profiles we're bringing in. We're really pleased with our retention performance. So these three areas will have a long runway in terms of contributions to growth and value creation.
Jane Nielsen: Yes in fact as you think about some of the components of SG&A, we've talked about marketing being at least 6% obviously, with some of the shift we did, the $25 million that came out in the first half and went into the second half. You'll see heavier marketing spend into the second half because we're able to sort of post COVID and restrictions and shutdown, we're able to activate things like the Australian Open. And we have the events coming up, the Fashion Show, Fashion Week coming up.  Those things will be activated and that's a portion of the spend that shifted. You will see this back half be closer to 7% to 8% of sales relative to our run rate, which is about 5.8% of sales into this quarter for the first half. Now, outside of SGNA versus -- outside of marketing, I'm sorry, versus last year, SMB is normalizing. Last year we had furloughs, and we had government subsidies during the height of the pandemic. We're obviously open across all our stores now. And we are seeing some wage rate pressure.  It's been most notable in our distribution centers with temporary and hourly workforce, and in our retail stores. I'm pleased to say that we are well staffed right now. But there is some inflation in wages that we saw, and of course we're committing this year to opening new doors, as a part of our drive towards direct-to-consumer, we're going to open 90 new doors this year, and there is some investment and expenses associated with that. Now, if you -- as you ask in terms of what do we have control of? Overall, we're committed to making these investments.  We do have some control over marketing, as you saw us exercise in the first half to make sure we are in tune with local markets and the operating dynamics that we're working with today, we do feel now is the right time, just with the holiday and what we're seeing in terms of opening around the country. Now is the right time to invest. And as Patrice mentioned, we're also investing in local e-commerce sites to have a very strong ROI and payback after the first 10 months.
Corinna Van Der Ghinst: And the last question, please, Angela.
Operator: Thank you. Our final question comes from John Kernan with Cowen.
John Kernan: Excellent. Thanks for squeezing me in.
Patrice Louvet: Good morning, John.
John Kernan: Good morning. Good thanks. Going back to North America, the $700 million in revenue that we're taken out of the business globally. I think a lot of that is from North America. Just curious, how should we -- we should think about wholesale and retail within North America? And what a sustainable growth rate in North America might look like as we exit the pandemic.
Jane Nielsen: So let me just start with the $700 million of pressure, which you're exactly right, is predominantly in North America. And what's going to manifest itself through Wholesale, though significantly is the pressure from the Chaps moving to a licensed model. So that's a little more than 10 points of pressure in the second half to our Wholesale business.  I think it's absolutely the right strategic moves underlying except reset, we expect continued momentum outside of Chaps in our wholesale business and higher levels of profitability, as Patrice mentioned. In retail, obviously, Club Monaco will be excluded from our overall corporate results. But in retail, we expect as the situation of COVID normalizes that we'll see better traffic back to the store. We've got strong conversion rates, strong AUR growth plan that we've already put up and planned for balance of year that will help us drive overall retail.  We're planning for some store openings in North America and continuing comp growth. On a long-term basis, we haven't yet guided the region, but we do expect North America is on a healthy base and is positioned from -- for growth from here out. You see the digital momentum, you see it's gaining share in wholesale. And we're very encouraged by what our existing store base can do and our new store base could do.
Patrice Louvet: Yeah. I think if you in did you're going to step back and say, okay, where are the drivers of North America are going to be moving forward? And you heard me say last quarter -- I think it was last quarter and there have been this confidence in our ability to win in North America since I started and that comment and confidence completely holds true as we speak together today. As Jane mentioned, if you look at the key vectors of growth moving forward, digital, right? We now have, after a painful reset, dealing with Daigou, dealing with the site that was over promotional that didn't have the right product offering.  We've now showed very good about our ralphlauren.com site in the U.S. both in terms of how the brand has presented, are engaging with consumers. The connected retail capabilities that come with it and of course, the profitability. So that's the first element. Second element, as you mentioned, is our retail footprints, right? Both productivity in our outlet and expanding our own full-price store footprint, so more to come in this space. But we know that there’s an opportunity for us to increase our presence -- physical presence from a DTC standpoint in a number of key cities in the U.S. and that work is well underway with a format that we're excited about, and a brand sensation that we're excited about.  And then the final point is now Wholesale, which used to be a drag in a bit of an albatross candidly around our necks, is now reset, is now on a healthy base both the brick-and-mortar side, where week flows as reminder, 65% of all our locations over the past 3 - 4 years. And the digital front, you saw the digital numbers. This -- the digital growth numbers from wholesale this quarter are quite strong and we believe only the beginning of the long journey. So multiple vectors of growth, Jane, as you mentioned, we're not ready to guide North America longer-term, but I think both of our behalf, I could say we have a lot of confidence in our ability to not only grow, but win in this market, right?  The last thing I would leave you with is recent -- latest share readings. We're growing share in men's, we're growing share in kids, we're growing share in home, we're growing share in women's ready-to-wear, and there's more to come. So we've got really nice momentum, a healthy foundation, and we're investing to win. All right, with that, we're going to close it here. Thank you for joining us today. We look forward to sharing our third quarter fiscal '22 results with you in February. In the meantime, we hope to welcome you at the Polo Bar, little advertising never hurts, which just reopened here in New York City a couple of weeks ago where you can experience the magic of the Ralph Lauren lifestyle. Thank you for joining and have a great day.
Operator: Ladies and gentlemen, that does conclude your conference for today. Thank you for your participation, you may now disconnect.